Operator: Greetings, and welcome to the Magellan Midstream Partners First Quarter Earnings Conference Call. During the presentation, all participants will be in a listen-only mode. Later, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded, Thursday, May 4, 2023. It is now my pleasure to turn the conference over to Aaron Milford, CEO. Please go ahead.
Aaron Milford: Hello, and thank you for joining us today to discuss Magellan’s first quarter financial results. Before getting started, we must remind you that management will be making forward-looking statements as defined by the Securities and Exchange Commission. Such statements are based on our current judgments regarding the factors that could impact the future performance of Magellan, but actual outcomes could be materially different. You should review the risk factors and other information discussed in our filings with the SEC and form your own opinions about Magellan’s future performance. We are pleased to report that Magellan began 2023 with strong financial results that exceeded our initial guidance. This beat primarily related to higher-than-expected commodity profits as improved location differentials in our markets resulted in higher sales prices and we simply had the opportunity to blend additional volumes during the quarter. Refined transportation revenues were similar to our projections as we expected long-haul shipments to continue early this year in both the Midcon and West Texas regions as our extensive pipeline network has provided much needed supply to backfill various refinery turnarounds throughout the heart of our system. Headline refined shipments may have been lighter than some expected as supply disruptions also impacted the more volatile volume on our supply push South Texas pipeline segment as well, which has a relatively nominal impact to actual revenues. Bottom line, overall demand remains solid in the core markets served by our refined products pipeline system. I'll now turn the call over to our CFO, Jeff Holman, to review a few highlights from our first quarter earnings, then I'll be back to discuss our latest outlook for the year before answering your questions.
Jeff Holman: Thanks, Aaron. First, let me note that I'll be making references to certain non-GAAP financial metrics, including operating margin, distributable cash flow or DCF and free cash flow and we've included exhibits to our earnings release that reconcile these metrics to their nearest GAAP measures. Earlier this morning, we reported first quarter net income of $274 million, compared to $166 million in first quarter of 2022. At a high level, the year-over-year increase primarily resulted from higher product margin, in part due to mark-to-market adjustments on commodity hedges in the current period, as well as improved financial results overall from our core fee-based transportation and terminal services. Adjusted earnings per unit for the quarter which excludes the impact of commodity related mark-to-market adjustments was $1.32, which as Aaron just mentioned exceeded our guidance of $1.20. DCF for the quarter increased to $313 million, up nearly $48 million from last year, while free cash flow for the quarter was $281 million resulting in free cash flow after distributions of $68 million. A detailed description of quarter-over-quarter variances is available in our earnings release, so as usual, I'll just touch on a few highlights. Starting with Refined Products, first quarter operating margin of $337 million was $101 million higher than first quarter 2022, primarily due to higher product margin, as well as higher average transportation rates. These higher rates were driven largely by the mid-year 2022 increase in our tariffs of about 6% on average. In addition, as Aaron mentioned, the current period continued to benefit from more long-haul shipments, which move at higher rates. Over the past few quarters, you've heard us talk about refinery outages and how they've benefited us by driving incremental long-haul shipments on our system. Thanks to the extensive connectivity of our pipeline network. This quarter, we again saw a higher proportion of long-haul shipments overall, compared to first quarter 2022, driven by supply disruptions in the Midcontinent and West Texas regions. But we were also impacted by supply disruptions in South Texas, which decreased our transportation volumes in that area. This disproportionate decline in volumes on a more supply driven South Texas portion of our system, which as a reminder moves at a lower rate and in general can experience more volatility, compared to the rest of our system contributed to a decrease in our overall refined products volumes without significantly impacting our revenues and contributing to a higher average rate. To put that phenomenon into context, the South Texas volume contributes around 10% of the total volume on our system that only around 1% of the total transportation revenue. Excluding those South Texas volumes, total refined product volumes on the rest of our system were essentially flat year-over-year. Product margin, the largest variance for the quarter, increased between periods as a result of favorable results from our gas liquids blending activities, which saw both higher margins and higher sales volume, as well as the recognition of unrealized gains on commodity hedges, compared to losses in the first quarter of last year. Our realized blending margins increased year-over-year to nearly $0.75 per gallon versus closer to $0.40 per gallon in the prior year period. Sales volumes increased in part, because higher blending margins like those we experienced during the quarter, generally make more blends profitable, but also as a result of the dedicated efforts by several of our teams, particularly our operations, engineering and commercial organizations to continually improve our processes and identify efficiencies that allows to capture additional blending opportunities. Turning to our crude oil business, first quarter operating margin increased to $109 million, up $6 million from the ‘22 period. Longhorn volumes averaged a little over 225,000 barrels per day, down from about 235,000 barrels a day in the first quarter of 2022, due to lower marketing affiliate shipments partially offset by higher third-party committed volumes. Even with lower volumes, Longhorn revenue actually increased slightly as the margin we earn on third-party barrels is higher than the margin we realized in marketing and affiliate barrels. Volumes on our Houston distribution system increased versus the prior year period, in part due to higher shipments from a new pipeline connection that began to ramp up in early 2022, as well as additional shipment related to our HOU joint futures contract that was launched early last year. Similar to what we discussed on the refined side, these shipments move at a lower rate to long-haul volumes, so this increased HDS activity resulted in a lower average rate for the segment overall. In addition, terminal throughput fees increased in part as a result of higher dock activity in the quarter as we continue to experience an increase in export demand. Crude oil product margin increased versus the prior year period, due to higher contributions from crude oil marketing opportunities that we've seen since mid-2022, as well as favorable mark-to-market adjustments on futures contracts in the current quarter. Moving on to our crude oil joint ventures. BridgeTex volumes were just over 140,000 barrels per day in the first quarter of ’23, down from nearly 285,000 barrels a day in 2022, due to lower volumes from committed shippers, emphasizing again the importance to take or pay commitments from quality counterparties that ensure that we get paid regardless of our customers' short-term logistics decisions. For the full-year, we now forecast BridgeTex volume to average 140,000 barrels per day in line with the activity we saw in the first quarter. Saddlehorn volumes increased to a record level of more than 240,000 barrels per day, compared to approximately 220,000 barrels per day the year before, as a result of higher shipments from both committed and committed shippers. We currently expect this trend to continue as well and are updating our outlook on Saddlehorn volumes to an average of 240,000 barrels per day for the full-year. Moving beyond the individual segments, the only other item I want to highlight from our quarterly results is G&A, which decreased between periods. You may recall that in the first quarter of last year, we had incremental G&A expense related to our former CEO's retirement. This expense of course did not recur in first quarter 2023, but that positive variance was mostly offset in the current quarter by increased compensation across the organization, as well as an increase in technology costs, primarily related to our ongoing automation and optimization efforts. Moving on to liquidity, balance sheet metrics and capital allocation. First, in terms of liquidity, we continue to have our $1 billion credit facility available and at quarter end had no borrowings outstanding on our commercial paper program. As of March 31, the face value of our long-term debt remained unchanged at $5 billion with a weighted average interest rate on net debt of about 4.4%. Our leverage ratio at the end of the quarter was 3.1 times for compliance purposes, which still incorporates the gain we realized on the sale of our independent terminals last year. Excluding that gain, leverage would have been about 3.4 times. As for capital allocation, our strategy remains the same. As we continue to take a balanced approach using a combination of capital investments, cash distributions, and equity repurchases all while remaining committed to the financial discipline we are known for. During the first quarter, we repurchased 1.2 million units at an average price of $53.65 per unit for a total spend of $64 million bringing the total repurchases since inception to more than 27 million units for over $1.3 billion, dollars representing 12% -- a 12% reduction in units outstanding. We continue to see unit repurchases as an important focus of our ongoing capital allocation efforts and continue to expect free cash flow after distributions to generally be used to repurchase our equity. Of course, as we are always careful to note, the timing, price and volume within the unit repurchases will depend on a number of factors as detailed in our earnings release. Additionally, we remain committed to a strong balance sheet, solid investment grade credit rating and our long standing 4 times leverage limit, which we believe remains appropriate for Magellan given the nature of our assets and the stability of our business model. With that, I'll turn the call back over to Aaron.
Aaron Milford: Thank you, Jeff. For the full-year, we have increased our DCF guidance by $40 million to $1.22 billion for 2023. This increase primarily relates to our higher financial results during the first quarter, as well as Magellan's updated view on the upcoming mid-year tariff adjustments for our refined products pipeline system. Over the last few quarters, we have indicated our intention to be especially thoughtful in our approach to tariff increases this year in light of the unprecedented level of allowable increases provided by the index in the current inflationary environment. We have been and will continue to be very methodical in that assessment. With our most recent analysis leading us to conclude that incremental adjustments are warranted for the value proposition offered by our unique pipeline system. As a result, we currently expect to increase our refined products rates by an all-in average of approximately 11% on July 1. We are still finalizing our rate decisions and so do not plan to break out the components of the 11% average rate increase today, but we'll provide more detail on our index and market based rates at a later point this year. For our commodity activities, we have continued to hedge our gas liquids blending with nearly 60% of our fall activity hedged at an expected margin in excess of $0.50 per gallon. Considering our strong year-to-date results, our guidance currently expects an average margin of nearly $0.65 per gallon for the year, which compares favorably to the $0.50 we generated last year and our five-year average margin of $0.45 per gallon. Coupled with our planned 1% annual distribution growth per unit this year, we expect distribution coverage in excess of 1.4 times resulting in $250 million of free cash flow after distributions that can be used to reinvest in the business, buyback equity or otherwise create additional value for our investors. Moving on to expansion capital we currently expect to spend approximately $120 million in 2023 and $40 million in 2024 on expansion capital projects already underway. The ‘23 spend is $10 million higher than we projected last quarter, primarily related to a new investment we just added for enhanced rail connectivity at our Refined Products terminal in the Denver area. This investment is supported by a take or pay customer commitment and expected to generate an EBITDA multiple better than the 6 times to 8 times range we generally target. And as always, we continue to assess new opportunities to further expand Magellan's footprint with logical bolt-on projects. While maintaining our longstanding commitment to capital discipline. With that, operator, we are now ready to answer questions.
Operator: Thank you. [Operator Instructions] First question comes from Theresa Chen of Barclays. Please go ahead.
Theresa Chen: Hi, thank you for taking my questions. First, I'd love to ask about the updated guidance just given the strength in the first quarter, as well as the updated tariff increase as of July 1. It seems that it would imply even a higher annual earnings bump than what is currently reflected in the new guidance? Taking into account the seasonality of your assets and such. Is this a result of conservatism or just how should we think about the cadence through the year?
Aaron Milford: So if you think about the guidance update, the primary buckets or drivers of that current update are what you mentioned, it’s the outperformance in the first quarter. And then we expect additional incremental rate increase in our Refined Products business to be round numbers $15 million of DCF that was not in our initial guidance. So that adds up to the 40. So at this point, it's first quarter performance what we expect to have to be different in the pipeline tariff. And then the rest of our business we're still expecting to pretty much perform as we expected, so that's the formula at this point.
Theresa Chen: Got it. And as we think about the refined product blended tariff for the second quarter, understanding that it has been elevated for the last two quarters due to refinery downtime across your footprint. We're actually seeing as I'm sure you don't know evidence of a lot of unplanned downtime in [PAT3] (ph). And that's typically where you source a lot of your products. So how should we think about the quarter-to-quarter change in that tariff as we move into second quarter before the inflation kicker comes in on July 1?
Aaron Milford: Well, on the quarter-to-quarter change, we're shipping longer-haul barrels, so that drives that average up as you mentioned. A lot of those were planned turnarounds. And you're right, you're seeing some more unexpected things that are happening, which generally is still beneficial for us. So it's too early to predict that it's going to be higher quarter-over-quarter 2Q over 1Q, because of those disruptions. But it is a -- generally the disruptions are positive for our business. I would say in the first quarter, just if you're trying to think what my unplanned or planned turnaround kind of look like. If you look at the first quarter, we think the refinery turnarounds may have contributed $4 million or $5 million of incremental value to us. So if you annualize that, that's sort of a potential for a year, and I don't think we're necessarily out of that band. The issue for us in trying to guide and plan for it is it's unpredictable and where it shows up matters. But that hopefully will give you a sense of the magnitude at least in the first quarter and maybe give you a little bit of a guidepost for what the full-year or what the second quarter might could benefit from if we see unexpected things happen.
Theresa Chen: Okay. And if I could just ask a follow-up to that last point, so we've seen over 1 million barrels per day of closures since the third quarter of 2019 in domestic refining capacity, would you expect that your refined product tariffs should benefit structurally as a result? That this volatility should continue?
Aaron Milford: As a general trend, yes, we've talked about it in the past, and as refineries close, demand doesn't typically change in markets as rapidly. So for us, we should experience some structural benefit from that through time. But markets are -- they move around a lot. Supply patterns changed, so it's often difficult for us to predict if refinery closes in one area, where is it going to come from or what other things might happen. But structurally, given the breadth of supply in our system, it's usually most efficient for the market to adjust to a closure by using our system.
Theresa Chen: Thank you.
Operator: Thank you. The next question comes from Jeremy Tanya of JPMorgan. Please go ahead.
Jeremy Tonet: Hi, good afternoon.
Aaron Milford: Good afternoon, Jeremy.
Jeremy Tonet: Hi, just wanted to kind of go into the products business a bit more and just given some volatility in the economic environment, the backdrop moving forward here. Just wondering any updated thoughts you can share with us on product demand trends as you see it across your system and if we do go into recession or things get worse, just how you think about the sensitivities there?
Aaron Milford: So as we think about recessions, our refined products business has shown itself through the decades really of being really resilient, so it's not like if we move into a recession, we would expect drastic changes in our total volume and the demand as we see it today is remaining very healthy. The one product that we move that's maybe more sensitive to a recession than others is diesel versus gasoline, diesel seems to be a little more economically sensitive than gasoline, which is driven by daily consumer behavior and that's seems to be fairly static through time even in recessionary environment. So gasoline is less sensitive. Diesel is a little more sensitive. But when you put it all together, we just really have a resilient business. And I wouldn't expect there to be a dramatic decrease if we enter a recession. Then I would also note we've got history that shows us that once you get on the other side of that recession, it comes back very quickly. So we're watching the recession potential, but I just don't see a material impact on our business or volumes as a result of it.
Jeremy Tonet: Got it. That's helpful. Thank you for that. And maybe pivoting a little bit here just towards BridgeTex, we saw a bit of a step down there. I was wondering if you could just kind of remind us, I guess, what the contracting status is there? What the outlook for BridgeTex is at this point in time?
Aaron Milford: Right, so as we think about contracts, the contracts that exist today extend for another three years as we sit here at this moment. So we've got contracts in place for the next three years. And it's about 65% of the total capacity in the line that's committed. So we've got strong contracts, great customers. So from a cash flow perspective, we feel very comfortable. The volumes are lower and that's just the decision of as Jeff mentioned, committed shippers making different decisions with their marginal barrel. Most of the shippers frankly, not just ours, but really everyone out of the Permian have multiple commitments. In some cases, this commitment succeed with they're actually producing right now. So they have to make a decision where do they move their marginal barrel and where it's best for them to do that. I think you're seeing a bit of a Corpus, Houston dynamic still present, where if it's an export barrel that you're most interested in, you'll probably still prefer Corpus for now to do that. We think that dynamic will change through time. None of us know when, but as Corpus fills up, Houston becomes the next logical market for those barrels. So through time, we think that Houston from our perspective is still going to be a preferred market. But as we sit here right now with continuing low differentials, shippers are just trying to maximize the value given the deals they've already struck, so to speak, with their marginal barrels and that's the phenomena that we're dealing with.
Jeremy Tonet: Got it. That's very helpful. And just one last one, if I could sneak it in here. Just you talked about as part of the 11% tariff increase kind of evaluating the system and determining that was appropriate to do. I was just wondering what variables changed in the analysis between, I think it was 8% that have been discussed in the past and now 1% just wondering if there was any changes in your mind that, kind of, drove that decision?
Aaron Milford: I think it's really just -- as we continue to look at the markets that we serve. And we look at the value proposition we offer to our shippers and customers. We did some work obviously before we provided the 8%. But that work continues, and as that work continues, we continue to refine it. And as we reach different conclusions, we'll make different decisions and that's really the result of where we're at now. We've just continued that work and I would reiterate that work is focused on what is our value proposition to our customers? What are the market dynamics that are happening? What we expect to happen? And we've just learned more. We just -- that's it. So that's driven a higher increase in our tariffs. And we're comfortable doing it, primarily because we don't think we're negatively impacting the overall value proposition of what our pipeline provides our shippers and customers. So it's really just passage of time and better information and more information frankly.
Jeremy Tonet: Got it. That's helpful. I'll leave it there. Thanks.
Operator: Thank you. [Operator Instructions] Next question comes from Keith Stanley of Wolfe Research. Please go ahead.
Keith Stanley: Hi, thank you. Just -- sorry to beat the dead horse on the tariff hike. So 11% hike even if you did the ceiling raise on the regulated side of 13%, I think. That's about a 10% increase in the market based areas, which is pretty high versus what you've historically done? And Aaron, based on your commentary, it sounds a little like what you're saying is the markets evolving the value of your system and it's sort of breadth and unique attributes are getting valued more highly in the market. And so put another way, you kind of have a little more pricing power and how you're looking at your network these days? Is that a fair characterization?
Aaron Milford: I probably wouldn't put it in the context of pricing power, Keith. But I think what we're figuring out and what we're seeing is that the value proposition we offer our shippers and customers is extremely high. When you look at the markets that they want that they can get supply from, you look at the markets they want to go to, you look at the optionality of the system, you look at the way we can handle the barrel store and move them, the just in time nature of our of our system, that's highly valuable to our shippers. And when you also look at the markets and the competitive dynamics in the markets. They have options and alternatives, which they can certainly choose, but we think we have the best alternative for most of our shippers. And we think even at the higher rates, it's still a really good deal for them. And so I wouldn't call it pricing power, I think it just it's really just the value of our system to our shippers that we think this tariff increase even end market based rates when looking at the alternatives people have, we think it's superior. And so we can be a little more aggressive on the rates maybe than we have been in the recent past, because again we don't feel like we're harming our value proposition to our shippers.
Keith Stanley: That's helpful. Several question just on the updated guidance, just I'm not sure if you said this, but what are -- are you still using the same assumptions for oil prices and for Midcon gasoline basis in the updated guidance? Thanks.
Aaron Milford: Yes, they're staying, but roughly the same. They're not dramatically different. I know the market has been volatile of late especially on the crude side. But the sensitivities we give you or the sensitivities, but when you look at the year, we haven't seen a need to dramatically change our overall assumptions. I think we mentioned $80 per barrel is sort of underpinning our guidance that's probably closer to $75 as we look forward. So it's not drastically different, but it's a little bit different, but the assumptions generally are consistent.
Keith Stanley: Thank you.
Operator: There are no further questions at this time. I'll turn the call back over to Aaron Milford for any closing remarks.
Aaron Milford: Thank you for your time today. We're pleased with the strong start to 2023 and remain confident in Magellan's future, not only in our increased guidance for the year, but our ability to generate significant cash flow and create investor value for decades to come. On behalf of our company, we appreciate your continued support in Magellan and look forward to seeing many of you at the EIC Investor Conference in Florida in a few weeks. Thank you.
Operator: Thank you. This does conclude the conference for today. We thank you for your participation and ask please disconnect your lines. Thank you, and have a good day.